Operator: Good afternoon and thank you for joining us today to discuss Optimizerx's fourth quarter and year-ended December 31, 2015. With us today are the Company's Chairman, David Harrell; Chief Executive Officer, William Febbo and it's Chief Financial Officer, Doug Baker. Following their remarks we will open the call to your questions. Before we begin I would like to provide the company's safe harbor statements. Statements made by management during today's call may contain forward-looking statements within the definition of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934 as amended. These forward-looking statements should not be used to make an investment decision. The words estimate, possible and seeking and similar expressions identify forward-looking statements and they speak only to the date the statement was made. The company undertakes no obligation to publicly update or revise any forward-looking statements whether because of new information, future events or otherwise. Forward-looking statements are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. Future events and actual results could differ materially from those set forth and contemplated by or underlying the forward-looking statements. The risks and uncertainties to which forward-looking statements are subject and could affect our business and financial results are included in the company's Annual Report on Form 10-K for the fiscal year ended December 31, 2015. This form is available on the company's website and on the SEC website at sec.gov. I would like to remind everyone that today's call is being recorded and it will be available for replay through April 5th, starting later this evening. Please see today's press release for replay instructions. Now with that I would like to turn the call over to the Chief Financial Officer of Optimizerx Mr. Doug Baker. Sir, please proceed. 
Doug Baker: Thank you, Shannon. And thank you everyone for joining us on today's call to discuss our results for 2015. Before we get into the numbers, I'd like to begin by officially welcoming our new CEO, Will Febbo who joined our team at the end of February. Will has 18 years of experience and has proven leadership in technology and healthcare companies made him the ideal candidate to lead us to our next stage of growth and development. Our team in Michigan and our current Chairman and Former CEO, Dave Harrell have worked to ensure a smooth transition for Will. In addition, to his ongoing responsibilities as Chairman, Dave He will continue to provide us management consulting on product innovation, business development and market leadership over the next year. Following my financial review, Will is going to comment on our operational performance and provide an outlook for 2016. Now turning to our financial results for the quarter and year, our net revenues in the fourth quarter of 2015 increased to $2.02 million versus 1.97 million in the same year ago quarter. Net revenue for the full year was up 11% to a record 7.2 million. The increases in both periods were due to increased promotional of pharmaceutical brands and expanded distribution channels. I should note that we estimate revenue in 2015 would have been about 650,000 higher if it were not for one of our EHR's who focuses on your urology turning off our program mid-year as a result of internal workflow issues at EHR. That would resulted in an additional 10% growth. We're currently working with them to determine when they will be back in line and anticipate the associated revenue will contribute significantly when they are back online in the second half of 2016. Operating expenses in the fourth quarter of 2015 were 1.5 million as compared to 0.8 million in the year ago quarter. The increase in expenses was primarily due to an exclusivity of 250,000 that we paid for development Allscripts Touchworks platform as well as exclusivity across all Allscripts platforms. The increase also reflects investments in our executive and sales team. For full year of 2015 our operating expenses decrease to 4.2 million from 4.3 million in 2014. For the full year our net loss totaled 0.6 million or $0.02 a share, an improvement from a net loss of 1.0 million or $0.04 a share in 2014. When we are moving the effective working capital fluctuations and cash flow from operations we had income excluding non-cash expenses of approximately 350,000 in 2015. Turning to the balance sheet, our cash and cash equivalents totaled 8.2 million at December 31, 2015 as compared to 3.4 million at December 31, 2014. The increase was primarily due to the strategic investment of 4.7 million by WPP as well as positive cash flow from operations of approximately half a million. We also continue to operate debt free. Now with that I would like to turn the call over David Harrell.
David Harrell: Thanks, Dough and good afternoon everybody and welcome to our conference call. I also want to begin by welcoming and stating my excitement for Will coming on board as our new CEO. As Doug mentioned Will has extensive leadership on both technology and healthcare and also has key roles that is led in the capital markets making him an ideal candidate to help us lead to the next stage of our growth at Optimizerx. We have worked together again to ensure Will's appointment as CEO has maintained continue operations at Optimizerx and I will continue to directly support him moving forward. With this leadership and proven success I have the up most confidence that he will continue to accelerate Optimizerx's delivery of best in consumer and physicians platforms as well as build shareholder value. I also look forward to being able to focus my passion to further innovate and connect Optimizerx to new partners and clients who seek a better way to deliver health care savings and support. With that I'm pleased to turn over the call to Will.
William Febbo : Thanks Dave and thanks everyone for joining us today. And actually Dave is sitting here right next to me and once we get to questions you'll hear more from him as well but thanks for that intro, quite a buildup, I really appreciate the confidence. Before I get into discussing our results I would first like to talk a little bit about what brought me to Optimizerx, when I was first introduced to Dave and his team I couldn't help but be impressed by their vision and especially their passion for helping pharmaceutical companies expand awareness and access to important medications, and for helping doctors help patients better afford and comply with their prescriptions. In accomplishing this mission I was amazed at how they have been able to deliver important products support and automate [ph] co-pay savings right within the physicians electronic workflow while delivering a solid return on investment for their pharmaceutical clients. Having worked with pharma clients for over 18 years there has to be true value delivered to engage as many brands and companies as they have currently. As most of you know I came over from Merriman Capital where as a COO I helped develop and lead discussions for WPP, or Grey Healthcare Group's investment as a strategic investor. I saw Grey as a perfect strategic investor given their strong domain expertise, client reach and especially their leadership team which includes their CEO Lynn Vos O'Connor who has recently joined our Board of Directors. Following Lynn's guidance we plan to increase our activity within WPP, these group of companies which include access to more than 300 brands. I'm glad to say we have already seen six new brands added to the mix and that will result in revenues of approximately $350,000 over the next six months and joining our board I believe Lynn recognized as I did the market leadership Optimizerx has established over a relatively short period of time. And how the company accomplished this in partnership with some of the largest pharmaceutical companies in the world like Pfizer, Lilly, Novartis, Sanofi and AstraZeneca, household names. These global market leaders have automated their co-pay savings and their trial voucher programs by using Optimizerx proprietary on demand content delivery platform. Through this platform they are able to reach more than 250,000 healthcare providers via our network of leading EHR's. Our platform allows these companies to address the fact that electronic prescriptions are likely to exceed 2 billion in 2016 as states move to e-prescription only like New York you’ve seen in the paper recently. And that studies indicate that 80% of physician are more likely to prescribe a drug that has a co-pay savings versus one that doesn't. These market trends and growing demand by our big pharma partners was clearly evident in our most recent results for the year including more than 25% increase in promotional transactions which is our core product. These results also reflect the addition of more pharmaceutical manufacturers and brands for our sample MD platform. In fact we distributed e-coupons for 85 brands in 2015 which was up by more than 21%. As many of you know though our top line growth was not as high as previous years. This was due principally to the two factors, longer sales cycles to close new brands and slower integration into the EHR partners. As a result we plan to deploy our capital wisely and invest in expanding our sales teams, leveraging our partnerships like WPP and others, strengthening our marketing and continuing to [Technical Difficulty] b delivering technology solutions which reduce the integration time, a key factor in our growth. Also in 2015 we expanded our network of leading EHRs including the successful launch of our e-coupon solution by Practice Fusion which is the industry number one cloud based EHR for doctors and patients. In the fourth quarter we also became Allscripts exclusive provider of the e-coupons on all of its platforms including integrating our e-coupon solution with their Touchworks network. Touchworks is used by large health systems throughout the country. So this represents a major expansion of our network. The integration of e-coupon functionality within Touchworks is expected to launch on a test basis in late 2016 and then on a wider scale in early 2017. In order to support our outreach to new age EHR providers and patient platforms last quarter we appointed James Brooks in the new position of Senior Vice President of Business Development. James is executive sales and marketing experience and particularly with growing sales at Fortune 500 and electronic health record companies made him great fit for Optimizerx. He brings to us longstanding relationships with numerous EHR's which represent new opportunities for Optimizerx integration and for us to reach more doctors and patients. James is now leading a new marketing effort designed to enhance our value proposition for both the EHR and pharma partners. Aside from the WPP one recent example of our increasing partnership reach is our new partnership with TrialCard which allows their pharmaceutical clients to incorporate our Optimizerx service offerings into their co-pay savings program. They are the second largest adjudicator in the market. We had a great week last week in Vegas at the 2016 HIMSS Conference which is where all the EHR partners gather and it's clear we have a seat at the table. As the market matures we feel confident we can be best in class partner with the likes of Dr. Herbst [ph], Allscripts etcetera. So we all grow together. Tomorrow we will be presenting at the 28th Annual ROTH Conference being held at Dana Point, California. In fact we are already here today to attend a number of one on one meetings with institutional investors and it's been a busy day. For those of you unable to attend the event you can watch our presentation via webcast at 11:30 Pacific Time. The webcast link is available in our ROTH conference announcement. In our ROTH presentation we will be talking about how in 2016 we're planning to acquire, integrate and expanded into new promotional EHR and eRx platforms. We will also be talking about how we plan to expand our sales team and further leverage our strong channel partnerships. We continue to actively participate in industry and partner events, in fact we are sponsoring and assisting and leading the largest pharmaceutical EHR conference being held on March 21 and 22 in Philadelphia. In addition to sponsoring the conference we will participate in key speaking industry panel leadership and round table facilitation. This highly acclaimed forum serves as the only life science driven meeting tailored to this changing and expanding landscape. As advances in health IT take healthcare provider engagement to the next level, this is a great opportunity to benchmark the position Optimizerx as the trusted leader in EHR Digital Marketing Solutions. Given our strong balance sheet we are planning to make strategic investments designed to grow our pharmaceutical products and distribution network. We expect our distribution of e-coupons to grow significantly this year but we will also be focused on growing our clinical messaging and brand integration products and services. While it is early for me to be given specific growth forecast numbers, given all the various activities between partnerships and investments and sales force we expect to see in top line growth well in excess of 2015s modest growth. In summary, before we get to questions we’re going to do four principle things. We’re going to reinvigorate our revenue growth with a larger direct sales force, leveraging WPP relationships and continuing to form partnerships that enable better access to brand managers. We will invest heavily in EHR partner space with leadership and technology and product extensions. The total projectable market is well over a billion in front of us including e-coupon, messaging and brand launch services. There are 600 branded products of which we currently service 82, given our lead and refreshed ownership and leadership we feel very confident we can continue to be very relevant in this space. We want the market to think of Optimizerx as the go to partner for communications between pharma, healthcare providers, pharmacies and patients. Now with that, I will open it up to questions.
Operator: [Operator Instructions]. And we will take our first question from Brian Murphy with Merriman Capital.
Brian Murphy: So I guess a high level, you guys are growing the top line double digits. You're generating cash. But you know you've got $8 million on the balance sheet, I mean you could easily double the expense base and yet still have in excess of two years of operating cash. I'm just wondering how you guys are thinking right now just big picture in terms of revenue growth versus profitability and cash flow and maybe if you could just talk a little bit more about the kinds of levers you have to accelerate growth if you know you’ve the opportunity.
David Harrell: Sure. Will is taking a very strong look at what our projections are and seems to be very excited about that but I can tell you that number one, we clearly see that we want to grow our revenue and really grab as much of this market in the next two years as we absolutely can and so anything from the market, customer facing, account management and promotional aspect we will absolutely be gearing it up dramatically. We expect to certainly have profitable growth moving forward but the reality is we want to grab this market, we want to leverage our leadership position and we certainly know it particularly WPP and some other key partnerships are in a position to do that and we will invest appropriately. Secondly, we think we've got some great technologies that are going to get actually reviewed fully through our partnership at WPP, and properly launched so that we can begin to expand some of those that Will mentioned. But clearly you know we do still want to run a tight ship but we don't want to invest, the opportunity is too big to not fully invest and I think Will has seen it and he brings a good perspective of it and Will I will turn it over to you for any additional comments you’ve from that.
William Febbo: No I think that's a good summary and investment is all about top line growth at this point, Brian. I think given our cash position there's less concern for profitability at this stage given how much of the market we still need to capture and we will spend a lot of time in the next two months organizing our product set so that additional products can be sold to the same client base. Before I even joined David already hired two executives one based in Michigan, one on the East Coast, James Brook was one of them on the East Coast and the other gentleman is in Michigan to really help us streamline our account management and interaction with partners. They're doing a great job and they are the newest of the team and very excited and we’re seeing results already. We will plan to spend additional money over the next two months, in fact we just had a sales person accept a position this week and we're excited to get him going in the coming week and I think having tried to build sales teams that sell to pharma. We really have a unique product that's going to excite the best sales people that have the best relationships and again this is why to be WPP was excited and Grey because we have a unique story, unique offering that offers a very clear value proposition to the clients. So yes, it's all going to be sales and marketing focused and we're excited to make the team bigger, and grow top line.
David Harrell: Yes. And part of that too will be really putting in the right resource towards some of the key WPP agencies, some of the key partnerships like our recent announcement of TrialCard which is -- just to give you a little color on TrialCard, TrialCard is one of the top two largest backend processing companies that really manage programs for over 100 pharmaceutical brands. Certainly we've worked with TrialCard and the other three big adjudicators like McKesson and PSKW and we will continue to but they are basically looked at ways that they want to provide this as a general key offering that in their point of view every pharmaceutical client that they have should take advantage of. So again we want to invest in these extremely powerful partnerships as well and investor growing in our direct sales.
Brian Murphy: And just a follow up on WPP, I know that's a very important strategic relationship for you guys. Maybe talk a little bit about how that arrangement is going so far and maybe some color on what you think they can do for you?
David Harrell: I want to go first because and I will turn it over to Will because I think this is a real advantage that Will brings in. I mean I love the fact that he understands technology, I love the fact that he's been in the healthcare pharmaceutical space and I love the fact that WPP really likes him, he was very supportive of it. So the key thing is you know Will has worked with WPP and the organizations and I think that's going to be a key focus for Will too and I think before I turn it over to Will up to this point we've had an outstanding engagement at the senior levels of each of the agencies and now the key component will be to pull that through at the account levels. So we've had tremendous buy-in, we have seen some results already but I think Will's focus and his team's focus moving beyond here is to really pull that through so that we can get in front of these brands and really help them understand our ROI we've demonstrated and how they can leverage that as well. So Will I didn't meant to interrupt you, but I was really excited that you had a great working relationship for over 15 years in WPP.
William Febbo: And Brian just a little context, I know most of the investors who are in already know how all that happened but the introduction of WPP into it is, they are holding company with lots of agencies and those agencies are critical to advising brand managers and healthcare and there's several of them. So from my perspective I'm going to treat each of those agencies within WPP as a client. As Dave said we’ve already had top level by-in, we've had several meetings. We're going to have another one coming up. We've seen results already. Some are ahead of the other groups and we're going to work on getting them all equally producing but the spirit is there and we will treat each one of them as individual clients and support it and hammer and close business together because it's a win-win. They look good as an agency of record for any brand because they're advising on a digital strategy and our product is one of a kind. So it really, it's a good value add to both sides.
Brian Murphy: Maybe just one more quick out housekeeping question and then I'll jump back in the queue. Tell me what the headcount is today and maybe where that could be at the end of the year?
William Febbo: We’re in all in '14 and my guesses will be close to 20 by the year-end.
Operator: [Operator Instructions]. We will take our next question from Harvey Poppel with Poptech LP.
Harvey Poppel: First question really is, it wasn’t clear from the public announcement of your arrival what Dave's role might be going forward perhaps you could clarify that?
William Febbo: Yes, so part of the early discussions in the winter when Dave and I were talking about this was he could not get far away. I wouldn't take it if he did and that was a serious condition because from a perception standpoint and frankly just from a knowledge and leadership standpoint I didn't want that to happen and we agreed on that and I think what we came down to is focusing on Dave's strengths which is innovation, looking at strategic relationships that can really help grow revenue and also both on the pharma side and EHR side. So moving to Chairman, I have full access to him at any point. I've seen nothing but since we started talking and I think we actually do very well together. We’ve had today with the one on one's with investors and it's a good combination. I'm obviously new, so I'm still getting my arms around a lot but Dave is transferring everything. I’ve say the rest of the team is to. So I expect to have full access to him for assessing things like animal product development. Some of the other products and we have a consumer app that we've done some early work on and really building out that business plan so that we can integrate it and grow it in a professional way.
David Harrell: From my perspective too, I mean I think it's great role for me. You know classic, [indiscernible] both strengths and maybe some weaknesses to a point that Will will bring some refreshing viewpoints and I think it's exactly perfect timing to come in, I think we're well positioned from all aspects from not only our partnerships but our financial position to really look at some of these things from a new perspective and especially from somebody that has proven very strong operational performance. But again my passion is to certainly get in front of as many pharmaceutical clients and the EHR partners to not only look at the value that we've proven out on both sides of the fence but looking at some of the other needs that can leverage our on-demand content and delivery system. So again, I'm very excited about it. I think it's something that's going to make me actually potentially even a stronger ROI for the company.
Harvey Poppel: I'm sure that’s very reassuring to investors who have known you and worked with you for a long time Dave. Couple of specific questions on the Touchworks deal you indicate that's really not going to start to cut in until late this year. Magnitude wise just how big a deal is that relative to your existing base? Can you give us some sense of proportion?
David Harrell: Yes, I mean you it's such an important new opportunity for us and it really distinguishes in the market. I can tell you that Touchworks is second only to Epic in terms of these closed health systems that utilize their EHR and not every EHR is necessarily the same pharma companies, love our reach, they have proven it across no matter what platform and they're all in but particularly those closed health systems, those are the real tough ones and Touchworks reaches an additional 50,000 doctors that they're prescribing habits, they live in the EHR they don't write hand written as well as electronic prescriptions and we looked at their utilization it was between their other two platforms literally three times the size so that potential right there would launch could have a 25% increase on our business easy. The additional thing is ones that’s ready to launch, there is going to be so many more brands and know that those closed health systems don't take drugs samples, don't see reps and that's going to be a huge driver for us not only in Touchworks but our network across the board too. And not to keep stammering too long though, again as Will mentioned too , we’re at the table with many of our longer sales cycled EHRs who many of them invited us to meet with them at HIMSS Conference because they're starting to look at needs if they're really not filling in, so I think it's a very exciting time and many of those groups are also involved in very large health systems.
William Febbo: This is Will, just to add to it I think part of the complexity of rapid growth versus steady growth is the integration process to EHRs and bears Allscripts we have tremendous relationship with them, we generate a lot of revenue together and them having it beta tested in Q4 and then live in 2017 is no reflection of them not wanting us to get there sooner. It's just in the Q and this is true for integration work. So one of the things that I mentioned it in my beginning comments is we’re going to work really hard at getting our technology to point where the integration is simpler and we’re going to weight ROI decisions on how to get that up the queue on the list within our EMRs. It's a big piece of the puzzle and the good news is as Dave said I was blown away by everyone from [indiscernible] to everybody. We have met with everybody and they all wanted to meet with us and sit down and it was very amicable and we talked about innovation together and these were people that are already generating revenues. So it's not just chit, chat it's actually real business and I was blown away by the conference because it seemed like we actually were able to get some business done and not just spend through days walking around shaking hands. Optimizerx has a seat at the table there it's clear, it was good to feel.
Harvey Poppel: I had just a few more specific questions. It's not clear to me when you refer to brand integration and conical messaging, I guess fell short from what you said in this press release in terms of revenue generation. But it's not clear to me or maybe other investors what that all means? What do those words mean in terms of what you do under the rubric of brand integration and clinical messaging?
David Harrell: So first of all that is a good question. I mean last year for example we did approximately Doug and tell me if I'm wrong, about a $1 million in some of these problems that we're talking about particularly in hoping drugs get integrated into the databases of these EHRs and doing some training programs to help them and managing any issues with drug brand launches. So I mean that’s a million dollars that frankly didn't happen this year and one of the key growth opportunities that Will and certainly I have recognized needs to happen. The other opportunity though is more and more of our brands really want to not just do financial messaging, they want which is our [indiscernible] they want to do clinical messaging too. And we have great additional reach that beyond just their work with potentially an individual EHR that we can expand on where it might be talking about a new dose, a new indication, a new delivery system etcetera. And that market currently is at least of is big if not even bigger. So again these are two areas that if we were to hit just the same numbers last year these are key and one less thing, these are very complementary to our core financial messaging and that's the key thing. It doesn't distract us, it complement us and makes us a strong partner at the table. 
William Febbo: Yes. I would just add Harvey, you need to for pharma to be -- to stay at the table. You need to offering multiple services all around brand awareness. So we will spend time in the next month or two with our friends, we now know a lot of agencies, our marketing is about to get a lot better that will make the products more clear, distinguish the value proposition for each one but on the surface the good news for the company is that the same buy, same client that uses the same distribution and we have the technology. So it's really about getting organized around the value proposition for each the pricing for some of the newer ones and some branding.
Harvey Poppel: Okay. Just continuing in that spirit and then on TrialCard those of us who are not familiar with that organization and what they do it's not clear to us exactly who's going to do what for whom going forward and how that's going to help the company?
David Harrell: Yes, TrialCard is -- again as I mentioned TrialCard is one of the top three companies that manage the programs overall. They basically the develop the co-pay programs, process the savings from the pharmacies and really are the overall managers of the programs in turn obviously we’re one key channel, in fact obviously a growing channel where they recognize that this is where the market's going and they approached us over the last four months to say listen we really want to partner with you, we want to make it easier for more of our brands that are currently not working with you because we have some brands with TrialCard, that happens to manage for them that the brands themselves directly went after and told them we want to work with Optimizerx but instead they want to proactively go after these brands. And so I think again, these key partnerships like the WPP and TrialCard and some others that you're going to be hearing they really if they are properly managed can really help us expand our marketing force out there because there's no reason why any brand that has a co-pay saving shouldn't be working with us. We just have to resonate the ROI, we have to make sure they know how to position us and ideally I think your point Harvey in the past was get us in front of the clients and let's do it for them as their partners.
Harvey Poppel: Okay. So they're basically in very, very simplistic terms an additional marketing channel like a third party marketing channel?
David Harrell: Absolutely. The best situation would be the WPP agency just talked about how great they are, optimize eRxs and the day after TrialCard manages our programs anyway, so yes, in fact you can work through us to integrate the same programs right through Optimizerx to reach over 250,000 healthcare providers.
Harvey Poppel: Okay, one final question then. Dave you've been talking about products for the veterinary world for sometime, I know you've had some out there in 2015. Do you see anything finally happening there that's going to generate some substantial revenues going forward?
David Harrell: Yes. And again, thank you for bringing that up to and now I will turn it over to Will on this but first for a second too but this market continues to just rear it's head with huge, huge opportunity because it's such -- it leverages the exact technology that we do on the human health side. So what I mean by that to it's just a simpler market. There's only four EHRs which really are called practice management systems that are key, maybe five, we’re talking with all of them and there is only about five key categories that matter for the high volume. When we start looking at this, while we have got so much other opportunity but the reality is we built an initial team of key consultants that have guided us and opened this up some very, very strategic discussions that I think will pan out beyond our pilot that just started live last month with the second largest health system. It's a small pilot also about 20 clinics. So I don't want to overstate that but the reality is this is really got the attention of organizations like Patterson, Henry Schein, who are the largest distributors who are saying well we think we can help you. And so it's a very exciting time not the steal Will's point, I wanted to comment he said that’s great but let's develop a form of business plan, let's look at exactly you know what kind of organization we need to build TMGP support this, let's leverage Grey Healthcare and WPPs, client relationships are already on the animal health and I think that's exactly the types of things that we need the world to do.
William Febbo: Yes. I think Dave covered it there, there is probably two or three things that we’re going to dive deep and then into deep and then come back to the market but this one is, if you look at a very simplistic level it's selling to pharma with our existing technology and it's actually simpler because the buyer has both sides for both pharma relationship and practice management or EHR. So definitely worth pursuing and the consulting team that's been pulled together is excellent.
David Harrell: I just like to piggyback when he says that, so if we can get a partner such as a Patterson and/or Henry Schein, I mean they already have the pharma clients and they already have the veterinarian. So the key is we want to work with them to leverage our technology almost like a licensing capability to bring better value to their veterinarians who are desperately looking for ways to protect their margin and keep their pharmacy in-house.
Operator: And we will take a follow-up from Brian Murphy with Merriman Capital.
Brian Murphy: How should we think about seasonality December to March? Is it going to be similar to kind of what we saw last year?
David Harrell: Yes I mean the seasonality aspect comes in as that some of these brands still are not finalizing their 2016 strategies, it's as crazy as that sounds, they're late to get assets. So it's always been a little bit less you know what I mean in terms of that and then they fully ramp up, they give us the insertion orders and you tend to lose in some brands and some key times and maybe that's a point where we’re going have to start addressing it with as we get closer and closer to these agencies and the fact that you can't -- certainly don't want to have that user experience being interrupted. So I would say that's somewhat traditional.
Brian Murphy: And you know you guys screw the number of brands, it looks like 85 from 70 this year, it looks like the pharma customers that you did business within 2015 was 25, it looks like it was the same as 2014, first are those all the same 25 customers?
David Harrell: No I'm not too sure about that. I think we have added some key ones, [indiscernible] coming now on board which is the largest generic company but they have key brands as well.
William Febbo: No, it's just [indiscernible] some will drop off they are acquired you know that happens but the number to watch is brand number because those are programs and as long as we’re not too heavy in one and part of the things that we're reviewing now is end of patent life where we’re at that stage or instituting a pretty heavy CRM customer management platform so we can track everything very well and be ahead of it. And we’re also looking at as we've talked about -- I've heard talked about before, I didn't talk about it was a potential solution on the generic side. So as they go, as the drug go through it's phases of life if you really want the longest tail for revenue. You need to the audit practice, the clinical and commercial messaging, as it gets towards the end of it's life there is a whole another set of services that you need to deliver and this is where being part of an agency as you get baked into that process and while they may not have made their decisions when in pharma to say go, they have allocated the budget and now they're waiting for the agencies to propose how to actually spend it and the good news is we're getting integrated there.
David Harrell: Yes, so I mean you know the more brands we have the less effect it will have. You're always bringing in new brands that are blockbusters and you might lose some new ones. I can tell you too that you know that kind of somewhat good news is that we've ran out of some budget in December too so with some key brands, so you know we don’t want to act like could or should or would have but you know if we had some of our EHR channel working and didn’t already have the budgets that filled in focus some of the core additional businesses that we think we can easily can get back in leverage, I mean we certainly exceeded the numbers that we have.
Operator: And we will take our next question from Neil Sagan [ph], a Private Investor. 
Unidentified Analyst: I was curious to understand a little bit about the revenue generation model for some of these other products and services the coupons pretty cut and dry. On the veterinary opportunity and maybe specifically the test that you're in now with some of these clinics, is it the same methodology, there's a coupon and we do a revenue share with the EHR equivalent and is that coupon being funded by the drug manufacturer or is it more or less identical to the human drug program?
David Harrell: So for the test what we did is we work with NVA [ph] who took the funds out of their co-op money, in most cases to get this up it was kind of flat rate etcetera but the model will definitely be transactional based, here is the beauty for the initial launch. We use what we call our desktop application. So we don't have to share any revenue and that's going to be one key strategy to us as we look at even on the human health side an opportunity too. But looking forward you're absolutely right when we look at integrating into the practice management system that’s definitely a 50% revenue share, now what we asked our partners that were in discussions with this to help us assess what that is and that's what the process right now we’re looking at. It's not the same profitable market obviously from the client side.
Unidentified Analyst: Why is that WPP? Just because the drugs are way less expensive?
David Harrell: Well this is Dave by the way. Yes that’s exactly the key. The margins aren't quite there, but there is still a tremendous amount of sales and profits that we can generate.
William Febbo: Our cost of sales as a company is dramatically lower in that space just because as we described the partners will end up working with most likely know both the veterinarian side and the pharma side, so they have their own--
Unidentified Analyst: So the same driver though to the drug manufacturer that we have on the human drive? The same rate of return argument prioritize your drug, keep the customer on your product, same basic premises what we see with what you're doing now with the human side?
David Harrell: Maybe even more because of the price elasticity and sensitivity of the margin protection that the veterinarians are facing versus 100 [indiscernible] etcetera.
Unidentified Analyst: All right and then kind of a similar question. When you talk about -- and you say that a priority in 2016 it's a priority to get these brand integration products in clinical messaging products moving more aggressively. How do we get paid for example for clinical messaging and if this is kind of a reciprocal benefit to the EHRs and the medical community for lack of a better word, is there not some incentive for them to help pay for and develop these technologies versus the coupon that I can see be in a different buckets. So kind of a two part question, how do we get paid for a clinical message or a brand integration message and it is us that's going to fund developing and getting these technologies into the marketplace?
David Harrell: So first of all on the clinical messaging that's an add-on, we basically secure it for the EHRs that we have in our network and we help them implement it. So it's a similar type of message that pops up for them and that message--
Unidentified Analyst: So we can take that message is delivered to a specific end user?
David Harrell: Yes, so it's a cost per impression basis where ours is a cost per delivery basis. Interestingly enough it's a little bit less than what we charge for financials but we deliver a better confirmed value that the e-prescription was confirmed, sent with the coupon, so that's a little bit of a stronger value proposition and by the way when you’re selling both differentiates that value too by the way to the pharma companies even more. But keep in mind most brands aren't doing anything but a lot of them are doing the clinical messaging even without the financial and the financial frankly is probably the most powerful message you can deliver. So one of our strategies is go to the ones that are doing clinical messaging and saying god bless you but the reality is here is the ROI and financials so we’re all for the clinical but you should be doing the financial and for the ones that are just doing the financials, we should say hey, you should do some testing so see if there's some clinical messaging that complements it.
William Febbo: And on the technology side to your question on the cost so we have current capacity ourselves and with partners but we will invest a little money this year in making it broader and easily uploadable, that's not a heavy lift for us because it's basically we know what to do and we know how to improve it but it should accelerate revenue growth that's why we’re doing it.
David Harrell: We can deliver some of it right now.
Unidentified Analyst: If you had a million messages delivered over our platform and you made X cents per message that's kind of a model?
David Harrell: Yes it is. It's cost per impression just like any website or anything. Now the drug file integration is a set fee where we offer anywhere from services were we will confirm what EHRs have, [indiscernible] that might be like a $30,000 integration versus a full drug file management program will not only will we help you get in there and leverage our relationships, we will manage any request that you’ve from reps, we will help train them to how the process can go. That can be anywhere up to $100,000. So getting 10 of those would be nice stuff, I mean we would have 10 of those like we did, I think we had seven last year we would have been this call would have even been that much more pleasant you know what I mean?
Unidentified Analyst: Well let me ask you two more quick things that are unrelated I think you said six new brands came from the WPP relationship and you were projecting, estimating 350,000 of additional revenue over the next 12 months is that correct?
David Harrell: That’s over the next six months. So they were smaller brands but we’re in the game and they are getting more and more used to dealing with us and that's a great start and it also came from one agency so we want to build on that and I think Will did a nice job of saying, hey, we’re working with your sister organizations they can see this as a huge strategic value to your client. Let's share best practices and let's invest in helping you be more successful with your clients. 
Unidentified Analyst: So a blockbuster drug if you were to land a new brand that had a $6 billion - $7 billion annual sales rate I mean you could be doing way more than $60,000 in coupons revenue.
David Harrell: We had a presentation last week for one drug that was over $1 million revenue for us just on e-coupon one drug.
Unidentified Analyst: One more quick question and I don't know right quite how to phrase it and I don't have the correct name of the parties in front of me but the lawsuit that we've been involved with where they're not living up to their end of the agreement according to us yet we're continuing to live up to our end of the agreement and pay them a substantial royalty. I'm not a patent expert but I know a lot of companies if they feel they have a strong case, if they feel like it's just patent trolling and part of this problem we have nationwide is there any consideration being given to revisiting that and any potential that we kind of do about face and decide to stand down from writing them a check every month.
William Febbo: So this is Will, with his fresh perspective clearly he is looking to look at the fully understand this but the reality of it is that you know there is an opportunity for synergistic value and opportunity for companies that were intended to be exceedingly stronger together and we fully intend to make sure that we get the positive benefits out of that relationship that we saw and there's not a lot of things we can do to comment on it but is absolutely one of the key focus is to work to our legal department as well as the potential discussions that we can have and work with the group to look at ways that -- the market is still so big that -- why we entered in the agreement still makes complete sense. Yet we want to make sure we enforce what was intended so that both parties win.
Unidentified Analyst: All right, well listen guys I appreciate you taking my call. Good luck, it sounds like a really exciting almost kind of a pivotal year for the company and you know my little request, keep us apprised to progress regularly during the quarter don't make us wait three months at a time to hear it all during one hour long. So thanks again.
Operator: And we will take our next question from Randy Gareth [ph], a Private Investor.
Unidentified Analyst: So quick question, so fourth quarter revenue '15 was essentially flat from fourth quarter '14 yet we had about 10 new drugs, so was the fourth quarter just kind of weak would say or what was would you say to the--
David Harrell: Well I mean as we mentioned to you we first of had -- we had fulfilled some budgets so we’re looking to get as we grow which we did on EHR side, we need to make sure we have the correlating budgets which we are acquiring and then the second thing is some of the programs still take upwards of a month or two to get fully up and ramped so to speak so I wouldn't get too focused in that area. But again our retainment of brands is very strong, as those brands get pushed in we’re not losing a lot of brands for any other reasons in most cases but patents, loss of patent. So does that give you a little bit of color in there?
William Febbo: You know there will be some programs that are $300,000 in month and some that are $50,000, so it's not a direct correlation to the numbers as to revenue growth and as the new person get my head around that to see how I can do a better job communicating to the investors what it means when we bring on a new EHR for up 50,000 prescribers, what does it mean when we have a brand, how big is that brand. I'm going to work pretty hard with Dave and the team over next couple of months to be able to communicate in a way that's just easier for people to understand the impact of some of these amazing partnerships that we’re forming.
David Harrell: I mean at the end of the day I would say we need to continue to fully ramp up our marketing efforts on both sides of the business, the EHRs we've got somebody that's leading that now. The pharma which Will is investing and just hired a new sales person and we’re going to continue to do that, but again the size of this market is over 700 brands that have a coupon program that we absolutely need to do the proper marketing that we have proven out to say guys, this doesn’t make any sense why not leveraging us and make sure we have the account teams to support the implementation is quicker and again take them into after we get them in their e-coupon and move them over to clinical messaging and other value points that are very complimentary. So the market is, if you look at there's over 2 billion electronic prescriptions in the market. So if you took out generics which still represent a play that’s 400 million transactions that potentially if we had all or at least the top brands that have a lot of volume, I mean we’re very still early stage but I think you know from your perspective when you look at the two sides and I am probably steering it a little bit but you’re engaged already with the pharma clients that we brought you out and EHRs, I think Will -- I'm putting words in his mouth not intentionally but the scale of this will happen and it's just one and that’s the challenge as difficult.
William Febbo: Just before I go on to that, does that answer your question on Q4?
Unidentified Analyst: Yes.
William Febbo: Okay. Yes, I think it's really -- we were asked today multiple times what's the tipping point and that obviously is the question when you're investing in companies. I think things that I can say for sure are Optimizerx is in the market, we're focused reinvigorating our sales growth as we said WPP, direct sales and partnerships. We’re investing in the EHR space to get access to more healthcare professionals and it's a big enough market, it's a gigantic market and matter of fact the shift is happening starting to happen fast. So it doesn't entirely surprise me that over the last three years the growth is in hockey stick, I mean as we all know as investors, entrepreneurs and business people you know that hockey stick takes a while if you look at any of the companies in and out of San Francisco it does take a while. So I think we're at that point though where all the blocks are in place you've got leaders in pharma that have taken some risk and gotten return on investment which means the others will follow. You’ve got major EHRs that are very happy working together, what we bring to them is a very profitable revenue and we want to do more of it. And then we get organized on the products and services and we stack growth on new products and services on top of our core. I think you start to see hockey stick, when does that happen? That’s premature for me to say but I'm deadly focused on it I can tell you that.
Unidentified Analyst: So with two weeks left in this quarter the first quarter, how is the year starting off?
William Febbo: It's starting off pretty well, we got a strong line. I've been in for three, four weeks obviously Q1 from a financial operational standpoint because we're public, it's [indiscernible] and hiring people so we’re focused on closing deals, getting the team in place but in general--
David Harrell: No surprises and anything means--
William Febbo: No surprises, I think you see seasonality building from Q1 up to Q4 and just from my background in pharma that’s how spending happens, it goes Q1, Q2 goes up, Q3 slows down and Q4 gets bigger. So that's what I would anticipate to share as well.
David Harrell: Yes and I will leave you with, you know we want to play to win. I mean the reason why we're bringing in certain people like somebody to run the full EHR. Somebody to help us with the operationalizing the account teams in WPP and certainly turning over the day to day operations something like [indiscernible] not to do the same things but to leverage what we've been able to accomplish yet do things differently that we haven't done yet to fully go after what we have in this market on both sides of the fence because it is waiting here and I think for the last four months have taken some steps real key steps to do that. I think Will's new focus and infusion to make sure that's going to continue to happen is really refreshing and I think we’re all very, very committed. We're very appreciative to all of the investors and again I've never been more confident that what we have is extremely unique certainly disruptive to $380 billion marketplace it's desperately trying to find in ways like we provide to get in front of the doctor and patient. So we don't want to do the same things that we have always done. We want to take what we have done right and we want to fully scale that up, we want to be openly humble to potentially some of the things that we might have missed and bring some new ideas and certainly not only from Will and from some of the new team but from our partners too.
Unidentified Analyst: I’ve been a shareholder for five years, so I'm in it for the long haul there is no doubt.
David Harrell: We appreciate that and it's a pleasure to talking to you.
Operator: And we will take our next question from Graham Jarvis [ph], Private Investor.
Unidentified Analyst: I'm just curious if we will be uplisting this year or will continue to grow revenues and hopefully more institution investor buy-in to the company and increase the share price of this obviously--
William Febbo: Yes, so one of the -- I have spent the last couple of years in capital markets company so fairly familiar with the strategy of uplisting and as such. And I think right now what we need to prove to our investor base is steady growth, smart investment and get the team in place for that and then that will take care of itself, It's about growing the top line, investing our capital wisely and there are lots of people who know a lot more about it than we do and we will get good advice on it but our focus is revenue growth this year.
David Harrell: Yes I mean we've looked at it but you know -- the size of the flow and -- we fully want to operationalize our company to ramp up our revenues so that we can meet the shareholder price that’s certainly the minimum and then from there I think it's a logical thought at that point.
Operator: At this time this concludes our question and answer session. I would like to turn the call back over to Mr. Febbo. Sir, please proceed.
William Febbo: Thanks everyone and appreciate the questions, follow up and for those of you've been in many years of patience we ask you to have some more but just in summary we're going to reinvigorate our revenue growth with a larger direct sales force, leverage our partnerships, we’re going to invest in EHR partner space with technology and product extensions. And we think the market is big enough with 600 branded products, we service 82 and we plan on growing that this year. I'm glad to be here. We will communicate more often through the quarter and I am always available and my information is always available. So thanks for the time and look forward to many more conversations.